Operator: Welcome to China Recycling Energy's Fourth Quarter and Full Year 2014 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to Ms. [indiscernible] Investor Relations Manager. Please go ahead ma'am.
Unidentified Company Representative: Thank you. Thank you for joining us on today's conference call. Before we start I would like to remind you that management’s prepared remarks contain forward-looking statements that are subject to risks and uncertainties and the management may make additional forward-looking statements in response to your questions. Therefore the company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today due to such risks but not limited to fluctuations in customer demand, management of the rapid growth, intensity of the competition, general economic conditions, geopolitical events and the regulatory changes and other information detailed from time-to-time in the company’s filings and future filings with the United States Securities and Exchange Commission. Accordingly, although the company believes that the expectations reflected in such forward-looking statements are reasonable, there can be no assurance that such expectations will prove to be correct. In addition, any projections as to the company’s future performance represents management’s estimate as of today March 24, 2015. The company undertakes no obligation to correct or update any forward-looking statements provided as a result of new information, future events or other changes in our expectations. Joining us on today's conference call are Mr. Ku, Chief Executive Officer and Mr. Su, Assistant of Chief Financial Officer and Security of the Board of Directors. Because there will be some translations during the call, we ask for your patience at that time. Mr. Ku, the Chief Executive Officer of China Recycling Energy Corporation will now deliver his opening remarks and Mr. Su will translate him thereafter. Please go ahead.
Guohua Ku: Good morning. We’re headed to [Technical Difficulty] with a solid performance in future quarter, first quarter interest income on sales type leases are our major recurring revenue stream, increase of our 25% of year-over-year. For the whole year interest income on sales type leases 37% and a net increase increased 27% compared to 2013. In 2014 due to clients business structuring plan, the assurance early formation of two lease contract for the TRT system to Zhangzhi and WHPG system to Zhong Gang which had some impact of our future interest income around sales type leases but partially offset by the lease contract signed with Yida in May, 2014. In the meantime we’re deploying the funds and we have received from these early termination to have formed new projects to [indiscernible]. Currently we have 13 system in operation with our total capacity of 125 megawatts although due to the delayed delivered of the treatment [indiscernible] and other center offset our [indiscernible]. Some of our projects on construction are behind schedule. We now expect that WHPG system to send core group and WHPG system to Zhong Gang where we completed in second quarter of 2015. This two system had a total capacity of 40 megawatts which will increase our sales. We continue to see strong market for our research [Technical Difficulty] system giving favorable government policy and mostly environmental protection requirements from the government. In the -- for the -- delivered by premier league [indiscernible] at the sole discretion of the [indiscernible] reiterated it's resolution to conserve energy, reduce emission and improve the environment. For 2015 one of the main targets for the China's economic and social development is to cut emission, intensity of the carbon dioxide by 3.1% and a continue to refuse the emission of the major pollutants including reducing both chemical oxygen, the demand and nitrogen emission by around 2% and reducing emission of the sulphur dioxide and nitrogen oxide around 3% and 5% respectively. We must enforce environmental law at regulation correct on those guilty of illegal emission and ensure they pay a heavy price for such offenses. They also said we will develop and ensure conservation and environment protection industry into a new pillar of the economy. Giving such environment our strong execution capability and full confidence in the future of our business and our business to deliver increasing value to our shareholders. This is the reason behind my purchase of additional shares of the company in August 2014 and in addition reply for the management to purchase more shares of the company. In closing I would like to again thank our shareholders and our strategic partners for the support of CREG. We look forward to updating all of you on our success in the future. Now let me turn the call over to our Assistant to CFO and Security of Board of Directors Mr. Su to reveal unaudited financial highlights for the fourth quarter of 2014 and full year of 2014 audited financial results after the prepared financial review I will come back to take your questions. Thank you.
Unidentified Company Representative: Thank you Mr. Ku. I would like to state that all of our numbers is represented in U.S. dollars and all comparison of Q4 2014 and Q4 2013, and 2014 and 2013. All between the 2014 and 2013 except for the balance sheet. I will start with the financial highlights for the fourth quarter. During the course of the financial results for the full year 2014, in the fourth quarter ended December 31, 2014 total sales including the sales of system and contingent rental income were 0.12 million compared with $13.20 million. Many of you -- because new power generation system was completed and sold in the first quarter of 2014. All sales type leases and the cost of sales are recognized at the time of the sales. Our inception of the leases in addition to the sales revenue CREG's other major source of revenue is interest income from sales type leases. Interest income on sales type leases for the fourth quarter of 2014 increased by 24.9% to $6.98 million from the $5.59 million. Net income was $5.33 million up 23.8% from $4.20 million. This is fully diluted earnings per share was $0.06 for the fourth quarter of 2014 as compared with $0.07 for the fourth quarter 2013. Now let me walk you through the financial results of 2014. The full year ended December 31, 2014 total sales including sales of system and contingent rental income was $19.66 million compared with 33.19 million a year ago. Sales of system was $18.87 million compared with $32.01 million in 2014, the year system was completed and sold in comparison the Shenqiu Phase II system, the Shenqiu Phase I system, the Pucheng Biomass Phase II system and the TRT system was completed and sold in 2013. Contingent rental income was $0.79 million compared with $1.18 million. This represented income from sales of electricity in excess of million lease payments. Cost of sales was $14.59 million compared with $47.85 million, the decrease was mainly due to fewer system completed and is sold in 2014. Gross profit was $5.07 million compared with 15.35 million in 2013 and added gross margin for the full year 2014 were 26% compared with 24% in 2013. Interest income on sales type leases was $26.46 million up 36.8% from $19.34 million. The increase was primarily due to a greater number of sales type leases in 2014. Interest income was derived 16 sales type leases including the CHPG system at Jing Yang Shengwei which was terminated on June 30, 2014 as scheduled. The TRT system at Zhangzhi and the WHPG system at Zhong Gang which was terminated early in September 2014 and December 2014 respectively. The CHPG system had both Pucheng Phase I and Phase II with 15 years 11.9 year term respectively. The CHPG system at Pucheng Phase I and Phase II with 11 years and 9.5 years term respectively. Five power and steam generating system at Erdos with 20 years term. The WHPG system of Jitie with 24 years term to BPRT system to Datong with 30 years term and the WGPG system at Yida was 15 years term. In comparison, interest income was derived from fifteen systems in 2013. Operating expenses totaled $3.49 million down 16% from the $4.16 million. The decrease was mainly due to a decrease in consulting expenses. Non-operating expenses consisted of non-sales type lease interest income, interest expenses, bank charges and other expenses. For 2014, net non-operating expenses was $2.20 million compared with $7.83 million in 2013. Income tax expenses was 6.11 million down from 11.3% from $6.87 million. The decrease in income tax expenses was mainly due to a decrease in the consolidated effective tax rate which was 23.7% for 2014 compared with 30.3% in 2013. Net income was $19.81 million up 23.8% from $15.63 million. This increase in net income was mainly due to the increased interest income on sales type leases and decrease to non-operating expenses in the year 2014. Basic and fully diluted EPS was $0.28 in 2014 compared with $0.29 in 2013. Now let me discuss our balance sheet, as of December 31, 2014 the company had cash and cash equivalents of $35.87 million, other current assets was $7.7 million and the current liability was 26.66 million. Total shareholder equity was 207.86 million compared with 154.68 million as of December 31, 2013. The net tangible assets per share was $2.50 as of December 31, 2014. Net investment in sales type leases consist of sum of total, minimum lease payments receivable less on unearned interest income and estimated cost. Unearned interest income is a amortized to income over the lease term so as to produce a constant periodic reach of the return of net income, net investment in the leases. As of December 31, 2014 net investment in sales type leases was 181.01 million compared with 184.50 million as of December 31, 2013. The total future minimum lease payments receivable was $583.82 million. With that tell Mr. Ku, our CEO to take your questions. Operator please begin the Q&A.
Operator: [Operator Instructions]. And the first question comes from Randall Lixin [ph], a Private Investor.
Unidentified Analyst: I had two questions for you today. CREG's most recent schedule is six open projects, showed a 177 million required capital expense to complete. The CREG's fourth quarter CIP at a 154 million it looks like projects overall are about 87% complete. Please shed some light on the accuracy of these calculations. And secondly, can you provide a current percent of shares held by company insiders and how far along is the plan 3 million share buyback? Thank you.
Guohua Ku: So for the two question that you just raised just confirmed with management team here and as you can see from our 10-K finance we have the 2 to 6 project on the construction Randall and while the project will be finished, will be completed maybe at end of Q2 2015 and maybe we can deliver, maybe we can share with some of our CapEx information with email later maybe after this call and for the second question, the management team is really intend to buyback share from the market and we discuss internally and we were definitely made up press release regarding this issue later on.
Unidentified Analyst: Okay.
Guohua Ku: Any further questions from your side?
Unidentified Analyst: No. Thank you very much.
Operator: [Operator Instructions]. Okay we have a question from [indiscernible] from Greenwich Global.
Unidentified Analyst: I was curious given how consistent your earnings are even without revenue from the sales type interest income, why do you think your stock is trading where it is even worse case you still have a nice earning stream from that interest income line.
Guohua Ku: As you can see from our earnings and the interest income on sales type leases in 2014 are up 36.8% year-over-year and even stock price is pretty low and our -- the company still have very stable some minimal lease payment from our customers and even we have very few and there is new operational system from this year but for the future very confident in the year 2014, any updates maybe from our business family maybe release to announce that.
Unidentified Analyst: No what I was actually asking is I'm sure your earnings will rise this year because of the interest income and how that works on the accounting basis, what am I asking is why do you think your stock for the market isn't diluting your stock based on the earnings you’ve.
Guohua Ku: I didn’t understand question but for the some of the Chinese company like us and the stock price is varied at this stage and from the management team's perspective we were travel best to just deliver some better results and the business development for our shareholders and we will travel best to communicate it with shareholder very openly and we really want to share the [indiscernible] with our shareholders in the future.
Operator: [Operator Instructions]. And there are no more questions at the present time so I would like to turn the call back over to management for any closing comments.
Unidentified Company Representative: This is [indiscernible] from the company. Thank you for joining us on China Recycling Energy Corporation fourth quarter and full year 2014 results conference call. We look forward to updating you on our first quarter and 2015 results. Feel free to get in touch with us anytime if you’ve any further questions, conferences or comments. May you’ve a very wonderful day. Thank you.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect your lines.